Operator: Good day and welcome everyone, to the Alexandria Real Estate Equities Incorporated First Quarter 2011 Conference Call. Today’s call is being recorded. At this time, for opening remarks and introductions, I would like to turn the conference over to Rhonda Chiger. Please go ahead ma’am.
Rhonda Chiger: Good afternoon and welcome. This conference call contains forward-looking statements within the meaning of federal Securities Laws. The company’s actual results may differ materially from those projected in the forward-looking statements. Additional information concerning factors that could actual results to differ materially from those in the forward-looking statements is contained in the company’s annual report on Form 10-K and its other periodic reports filed with the Securities and Exchange Commission. And now, I’d like to turn the call over to Joel Marcus. Please go ahead.
Joel Marcus: Thanks Rhonda, and welcome everybody. Thanks for joining us for the first quarter call. We are going to try to be efficient and I will be as brief as possible. I’ll turn it over to once I am done to Steve Richardson who will highlight some of the important updates on the type of fiscal market and then being to finalize kind of comments from our standpoint before we open it up for Q&A. On the status of the business today, I think we are making good progress in virtually all of our key Life Science adjacency markets despite a sluggish recovery, the quarter, I think of a pretty decent solid quarter again given the macro environment which still is challenged. We clearly have the best-in-class in most well located lab space and then I think it gives comfort for each quarter in and out of leasing, re-leasing, et cetera. When you look at NIH government funding which has been driving a lot of attention lately certainly of the government funding level. 2010 was $31.2 billion and 2011 is $30.9 billion also there is a small federal budget cut, but we feel that the feds are very and certainly Congress appears to be very supportive keeping the levels above $30 billion which should provide us, I think, adequate fund certainly on the go forward basis over the next year or two. In 2010, our clients garnered 12.7% of the annual NIH budget up several percentage points from the year before and the biopharma budgets for 2011 should stay north in the aggregate of $60 billion which is good news. On the leasing front, we had a solid 550,000 plus square feet leased through the first quarter and I think we are on our run rate for the second quarter to be equally as solid. We have 28 leases as you know from newer renewal space, we had a modest up tick with a bit of shorter term leases but don’t take that as any particular trend. Massachusetts strength was offset a bit by some of the challenges in Sorrento Mesa in San Diego and a little bit in our North Carolina market. 16 leases were redevelopment, development space and again Boston and San Francisco are two leading markets were very solid in that regard, Steve will cover this more in depth in a few minutes. And our 2011 lease rolls about 1.6 million square feet coming up should be very manageable. We only have San Francisco and Boston, Cambridge with over 100,000 square feet to re-lease that we see that is very achievable. And we’re still looking at GAAP rental rates on a yearly basis up somewhere between zero to 5%. On redevelopment space, on the 784,000 odd square feet in redevelopment, we’re making I think good progress on one of our Torrey Pines properties, we’ll be able to report to you over the coming quarters. I think also in the University Town Center our campus point asset very good progress on that and will be reporting to you there. I think in the Boston, Cambridge area each of the assets we have for redevelopment there again good progress. And also the Rockville redevelopment will be able to report good progress. So, overall I think you’ll see the leased and negotiating committing numbers continue to rise over the coming quarters. Moving on to acquisitions and again Steve will detail more about the Mission Bay acquisition. But as we stated the pacific group conference in Florida in mid-March will continue to be opportunistic in our search to find AAA locations and AAA facilities where we can add and create value coupled with our conservative and rigorous underwriting standards. I think if you look at the Mission Bay acquisition, our view that this was a move to secure AAA location and AAA set of buildings on their own merit. They’re really the best waterside site in Mission Bay immediately adjacent to the UCSF R&D campus from right across the street from the $1 billion three hospital complex now under construction. We at one point, a number of years ago looked at potentially acquiring this, but with so much land through the Catellus acquisitions we decided not to go forward, but we’re pleased to have this opportunity. It’s pretty clear we’ve got the best knowledge about that submarket of any commercial real estate entity and I think clearly the most capable and conservative underwriting. It was a solid buy although not a steel in fact very few steels in AAA real estate today. But we do see a unique ability to solidly increase cash flows and I think appreciation will come overtime especially given the ability to tenant one of the buildings and its clear on Mission Bay we have a real pricing power and it is as Steve will tell you almost fully occupied submarket. If you, when we think about the acquisition versus development issue today it’s not just a simple matter of comparing yields or IRRs but we have significant and unique ability I think among virtually few companies have this kind of a luxury in three strong markets to develop on either a build-to-suite or a significantly pre-lease scenario. Mission Bay, we have got about 300,000 square feet left to build and pretty good activity there in the early stages. New York City, we have got 800,000 square feet and we’ll kickoff our pre-marketing of the West Tower on June 6th. So as we began to really pull in what we know will be existing pent-up demand we will keep you posted on kind of our plans for the West Tower about a 400,000 square foot tower. And in Cambridge, 1.7 million square feet to develop, we clearly have the ability there to build that out. And I think it’s fair to say today we have, we’ll likely formally announce our first build-to-suite for about 300,000 square feet in the second quarter when we expect to have a signed lease at the at the Alexandria Center for Life Science, Kendall Square and again we will keep you posted on New York City our Alexandria Center for Life Science there after the June 6 kick off and our lab rates in New York we think are comfortably approaching the $80 triple net range. We can also be adapt enough to acquire if it make sense and clearly we are at the Mission Bay property we believe that with solid conservative underwriting we can do that increasing cash flows where we see strong positive rent growth trends where we adapt pricing power it makes good sense. So let me turn it over to Steve Richardson who runs our San Francisco Bay office and region to get in to more depth on that acquisition.
Stephen Richardson: Hi this is Steve Richardson, Executive Vice President Regional Market Director for the San Francisco region. The recent recoveries really continued and has intensified with significant absorption of space from technology companies such as Motorola, Dell Computer, Zynga, Hewlett-Packard, Google, Facebook, and Salesforce.com and imminent demand from another cohort of technology companies. The Life Science sector has also remained steady and healthy with incremental demand, keeping vacancy rates in the West Bay, which stresses from San Francisco to Palo Alto in the 9% to 10% range. The Life Science vacancy rate would actually have been driven lower, or not for reason of 11th Hour termination and negotiations for a large block of sublease space in the South San Francisco market. The healthiest of the Life Science submarkets continues to be Mission Bay, featuring a current vacancy rate of just 1% or so. Alexandria’s vision of Mission Bay as a world class cluster attracting strong credit tenants with international significance continues with enthusiasm. And Joel mentioned we are pleased to formally announce the purchase of 409 and 499 Illinois Street, the world-class newly developed 453,000 square foot laboratory facility constructed on a spectacular 3.8 acre waterfront site in Mission Bay for approximately $293 million. The two-building project is designed in a six story configuration situated over a secured two-level parking structure. The 409 Illinois facility containing 241,000 square feet is 97% leased on a long-term basis to one of the Bay area’s most promising life science companies FibroGen which is focused on several large product opportunities. It is a well-capitalized company with a diversified product pipeline and blue-chip pharmaceutical partnership. The 499 Illinois facility contains 211,000 square feet. It is currently vacant and requires further development to bring it to market and stabilization. We expect to engage a broad range of life science, medical office, clinical practice and research and technology companies now currently in the market and based upon our view of market conditions and certain assumptions we expect to achieve a GAAP stabilized yield for the overall project in the range of 7.2% to 7.6% and initial cash yields in the range of 6.5% to 7%. These yields are based upon the current rental rates we have achieved in Mission Bay and do not account for potentially higher lease rates that may arise for a cluster of factors. One site is clearly a unique waterfront offering in a market that is now at a 1% vacancy rate for life science product where Alexandria has real pricing power. It is adjacent to both UCSF’s research and hospital multibillion dollar campuses and we expect these demand drivers to enhance our rental rates and yields for the facility in the near and the long-term, but we’ve taken a conservative view on our underwriting and future leasing. The price per square foot is also competitive with recent transactions featuring existing and old lab facilities and exactly land in the South San Francisco market. But this world-class properties located in the much healthier and diversified submarket Mission Bay. It is also important to know that this facility includes 590 parking spaces and they provide an apples-to-apples comparison with Alexandria’s Mission Bay facilities and in South San Francisco lab market approximately $65 should be deducted from the price per square foot metric driving a price per square foot of $581 for the facility. This is infrastructure that provides a return on investment with real urban CBD parking rates unlike South San Francisco’s market that does not provide for paid parking for expensive parking structures. This is clearly the right asset at the right time for long-term appreciation and high quality increase in cash flows. We have solidified our dominant market position in Mission Bay. The salesforce.com land sale was an important event since they both enhanced Mission Bay’s international reputation as a diversified world-class intellectual and innovation center featuring both life science and technology enterprises, as well as advancing Alexandria’s pursuit of an investment grade rating by monetizing a significant non-income producing asset. The Illinois acquisition service a similar dual purpose, in that it boosts the company’s near monopoly Mission Bay footprint to more than 975,000 square feet of existing space plus the ability to provide another 290,000 square feet or so for build-to-suit users, while at the same time bringing beneficial cash flow to the company and enhancing the metrics for investment-grade ratings. We continue to make steady progress on East Jamie Court facility in South San Francisco with two of the six floors fully leased. We are taking a measured approach to the South San Francisco submarket with a key focus on tenant retention such as our recent renewal of Theravance at our 901 and 951 Gateway project for a 10-year lease; securing high quality growth companies such as Onyx in our 249 East Grant Campus and solid incremental progress on East Jamie Court with a number of promising company including Stem CentRx, but we’ve chosen not to invest significant capital and additional ground development projects without significant pre-leasing. On a final note, we’re also advancing our 2011 roll-over efforts and are either in negotiations or serious discussions with approximately 70% of our remaining 120,000 square foot roll-over for this year. A majority of these tenants in these suits anticipate extending their lease in one of the spaces as in the process of staying back over the new tenant. With that I’ll go ahead and hand it over to Dean.
Dean Shigenaga: Thanks Steve. Welcome everybody. As we reported our earnings for the quarter FFO per share diluted was $1.15 excluding the 2.5 million loss on early extinguishment of debt and earnings per share was reported at $0.44. Moving to the balance sheet real quickly, and as a quick reminder, an overview of our recent amendment to our facility, we extended the maturity ultimately the January of 2015 the line of credit increased by 350 million to 1.5 billion, bringing the total facility to 2.25 billion. Pricing on the line of credit was 2.4 or one month LIBOR and the $750 million term loan maturity remains unchanged at October of 2012, and the pricing on that $750 million term loan remains at 1% over one month LIBOR. In addition in the quarter we closed the new $250 million unsecured term loan with pricing at 2% over one month LIBOR. The covenants are identical to our unsecured line of credit and the initial maturity is 2014 with an option to extend the maturity to 2015. As you probably are aware of the bank lending environment continues to strength for solid sponsors like Alexandria. Lender interest remains very strong and pricing continues to improve. Our guidance which I’ll get to in a moment assumes a small portion of our $750 million term loan is refinanced this year with the remainder being refinanced no later than 2012. During the quarter we’ve retired 96 million of our 37 convertible notes which leads us about $206 million outstanding as of March 31. Briefly let me summarize our balance sheet capital structure and liquidity objectives over the next several years. Our objective include reducing leverage as a percentage of total growth assets and improve the ratio of debt to EBITDA. Maintained diverse sources of capital reduced outstanding convertible debt. Manage the amount of debt maturing in any single year. Refinancing outstanding variable rate debt the fixed rate debt maintain adequate liquidity from net cash providing by operating activities cash and cash equivalents and availability under our line of credit. Maintain available borrowing capacity under our unsecured line of credit in excess of 50% of our total commitments of 1.5 billion except temporarily as necessary to finance that the acquisitions. Fund dividend from operating cash flows and most importantly retain net positive cash flows after payments of dividends for reinvestment into acquisition and/or redevelopment and development projects. Moving briefly to credit metrics, our net debt to EBITDA is seven times as of March 31st and it continues to have an outlook of improvement through the year. Our financial covenants under our credit facility are as follows; leverage was 37%; the covenant is 60%. The unsecured leverage is 40%, the covenant again is 60%. The fixed charge coverage ratio was 2.2 times on a trailing 12, the covenant is 1.5 times. And our current quarter annualized fixed charge coverage ratio is 2.5 times showing a significant improvement. Our unsecured debt yield was 13.5% and the covenant is 11%. Briefly let me turn to sources of cash for the remainder of 2011, as I mentioned in our prior call, our net cash flows are anticipated to be approaching about $100 million for the year, which leaves us about 75 million for the remainder of 2011. We have cash on hand of approximately $110 million, we’re anticipating asset sales and land sales in $75 million to $150 million range. We also anticipate an unsecured bank loan in the $400 million and other capital or about $300 million consisting of unsecured debt, secured debt perpetual preferred or common stock. That brings our total sources to about $1 billion and keep in mind we have approximately 841 million available under our line of credit as of March 31st. Turning to uses of capital for the remainder of the year, acquisitions in total are projected to be about 395 million. This includes $293 million for the transaction we completed in Mission Bay and therefore we have about $100 million of incremental acquisitions forecasted. Our construction spending breaks down to total of $277 million as follows redevelopment which is stated to be about $116 million, development about $77 million, projects in Indian and China about $43 million, pre-construction activities about $22 million and CapEx and another TI projects of about $19 million. Common dividends for the remainder of the year assuming no changes in the existing share count of about $75 million for the next three quarters, repayment of debt in the range of about $98 million. Repayment of the $750 million term loan as I mentioned earlier in the $100 million range retirement of the remainder of our 3/7 notes at about $206 million bringing total usage just slightly above $1.1 billion. Lastly, let me comment on guidance for 2011, as we reported FFO per share diluted of range of $4.52 to $4.57 an EPS of $2.03 to $2.08. Our guidance is based on various underlying assumptions and reflects our outlook for 2011. Some of these assumptions include the following, $0.05 loss on early extinguishment of debt, this includes $0.03 since our guidance in early February. The increase in acquisition expenses partly in Q2 from the transaction in Mission Bay and the remainder being spread over the second half of the year. Increase in interest expense related to the acceleration of refinancing originally anticipated in later quarters including refinancing of a small portion of our $750 million term loan in 2011 versus 2012 then of course the acceleration of other financing from ‘12 into ‘11. Cash same property NOI growth in the range of 2% to 4%, GAAP rental rate steps on lease renewals and releasing of space in the up to 5% range with some variances quarter-to-quarter. Straight-line rents are expected to be in the low $30 million range with amounts back end weighted in the year. FAS 141, revenue will drop below $1 million come the third quarter. G&A expenses are expected to be up modestly over 2010. And lastly, our guidance also includes the items that were previously highlighted in sources and the uses of capital. With that let me turn it over to Joel.
Joel Marcus: Thanks everybody. Let’s operator if you could open it up for Q&A please.
Operator: Thank you Mr. Marcus. The question-and-answer session will be conducted electronically. (Operator Instructions). Our first question comes from the line of Mr. Anthony Paolone with JP Morgan.
Anthony Paolone – JP Morgan: Thank you and good afternoon. My first question is on the Illinois acquisitions how much more do you have to spend between just finishing of the second empty building and just any CapEx or tenant improvements that you need to do to get it build up?
Stephen Richardson: Yeah. Hi Tony, it’s Steve Richardson. We expect between the infrastructure and the improvements there for that building alone somewhere in the range of I would say $100, $125 plus a square foot.
Anthony Paolone – JP Morgan: Okay. And then how do you look at hurdle rates on starting new acquisitions or starting new developments, and re-developments and also looking at acquisitions, because it seems like you’re willing to take down your returns a little bit to do this and understand the strategic nature of it, but just how do you think about that across other parts of the portfolio now since your portfolio has increasingly in these very strong locations?
Joel Marcus: Well I think it’s pretty rare to have Tony acquisition opportunities in what I would consider to be the three critical markets or submarkets Mission Bay, Cambridge and New York City obviously other markets you’ve seen some of the activity in San Diego, etcetera. So I think in Mission Bay this was the only non-Alexandria held commercial real estate there and we have really coveted that side for a long period of time and I think only by really moving out of some of the landholdings which were really dragging in a sense the both from a balance sheet and a cash flow standpoint once we are able to successfully exit I think our view of an opportunity to buy AAA location, AAA buildings at not a bargain basement price, but at a pretty full price gave us an opportunity though where we see pretty good pricing power and we underwrote it in a pretty conservative fashion that it was something we wanted to do, it’s immediately cash flowing. I think there is a great opportunity to increase well beyond our pro forma based on future rental rate increases and so, I think there the choice between doing that versus kicking off another building where we did not have a current build-to-suit candidate that was ready to go I think made good firm, I can – Cambridge again, very few properties are trading and while there is no opportunistic acquisition opportunity that we can see in the – certainly, in the immediate timeframe and so, by securing a build-to-suit there, we would obviously look at that and again all – it isn’t simply as I said purely IRR or yield driven. I think it really is a focus on location, quality of building and is there a chance to add value to increase cash flows and can we – could we exit that asset at a price that would be much better than we bought in and I think the answer on all those piece is yes.
Peter Moglia: Yeah, Tony it’s Peter Moglia. Joel to hit the nail on the head there, I mean, we looked at what the stabilized yield would be once we leased up the second building and we believe it’s going to be at least 100 basis points over what the going in cap rate would be as we had bought it stabilize. So, we felt really comfortable with the pricing given that spread. And then obviously we always look at the unlevered IRR and ensure that it’s going to cover our projected long term cost of capital and in this case it surely did. So, to address your hurdle rate question that would be my answer.
Anthony Paolone – JP Morgan: All right. Then just the one follow-up to that is I mean it sounds like then quality asset like that on just a stabilized basis would probably have yield somewhere in the – it sounds like maybe in the fives perhaps?
Peter Moglia: I would say that it’s possible, stabilize today that that could trade below six, but I would look at it as a six, six even.
Anthony Paolone – JP Morgan: Did that kind of pricing I mean what is it do to your thinking in terms of joint ventures or you’ve gone down that path a little bit in the past and I guess may be update us on that. But...
Peter Moglia: Well we saw one asset last June that I think I have alluded to in meetings or in conference calls where there was a B location, triple-A credit in a suburban Boston that went for a 64 cap rate to an institutional buyer. In Mission Bay it isn’t a lot better than that waterside view next to the – again the campuses we described it would be hard to imagine that it wouldn’t attract pretty aggressive cap rate buyers. On a joint venture basis I think we have to kind of see how – our view is the probably the most probable joint venture opportunity for us is really on the Binney Street, the Alexandria Center for Life Science Kendall Square because the magnitude of build-out there is large. We do have one deal that we signed a letter of intent and then we are looking to finalize a lease over the coming 30 days or so, and we’ll share more with you next time. But I think that’s probably an opportunity that we would think joint venture wouldn’t work for us.
Anthony Paolone – JP Morgan: Okay. Thank you.
Peter Moglia: Yep. Thanks, Tony.
Operator: (Operator Instructions). Our next question comes from the line of Michael Bilerman with Citi.
Michael Bilerman – Citi: Yeah, good afternoon.
Peter Moglia: Hey, Mike.
Michael Bilerman – Citi: Hi. Just staying on Illinois acquisition, when you bought Biogen Idec and at the Investor Day your first two bullet points was best asset in the four major submarkets than a high discount to replacement costs, and really value-add going and then using the skill-set. I recognized your view of triple-A asset, triple-A location, but it would appear as though just based on the costs that you’ve put into your other Mission Bay buildings and what you just sold the land for salesforce.com. That this would be pretty much I would say and more circular around replacement costs maybe it take above, maybe it take below, but probably not far off and so I’m just wondering how you can comparing contrast that?
Stephen Richardson: Yeah, Michael. Hi, it’s Steve I think there is a couple of component of this. One is again when you look at the price per square foot and it is important to look at the parking structure as an integrated part of the building. And when you break that our as a revenue generating entity of two itself you do end up with a replacement costs figure that I think you probably right is somewhere in that range of plus or minus of where we’ve been in that includes tenant invested capital as well. As far as the value adding potential here I mean we have a 1% vacancy rate in Mission Bay. The building will appeal to not only kind of our core target of life science drug discovery lab companies. You’ve got important clinical people that we’ve actually toward through the facility as recently as last week. Medical office building users, technology users so you have a diversity of demand there that we think will allow us to add value and bring just a great new cohort of tenants in there. We were conservative in the underwriting the lease rates we’ve targeted we are ones that we have achieved with a number of the tenants looking back over a number of years. So I’m hopeful but we did not underwrite at this way that we do in fact have rental rates and yields better enhanced above and beyond what we’ve already accomplished.
Peter Moglia: And hey Michael its Peter Moglia I think you’re referring the comments I made at Investor Day. I’d say in this case, we are going to be using our skill set and our connections. We do have leasing to do, to accomplish our goals and we are going to be making a spread over what we would buy a stabilized asset for us, so I think in that way in the profile does fit. But I’d also like to mention that this is a bit different than the biogeneric deal because this is a very scarce asset. If you look at a map of Mission Bay today and plot it where sales force is going in the hospital and all the other uses, there is very little land left and nothing in this particular area for a number of years so. You have to really consider that when you’re looking at the overall pricing and the overall strategy of this. It’s going to be very little available on Mission Bay for a number of years and except for what we have and what we can build.
Michael Bilerman – Citi: How much of parking income is coming off the asset today?
Peter Moglia: There is a total of 590 spaces, I think roughly half of those are leased. I don’t have that figure off the top of my head, but we can get back to you with that.
Michael Bilerman – Citi: Your allocating based on your $65 about $30 million to the parking?
Peter Moglia: Yes. Yeah, I mean we have built parking structures in Mission Bay to the support of our existing facilities. So we have a good sense of both the parking space rental revenue, the parking space cost and those in and out themselves are standalone financial entities. So I just thought it was important to highlight that dimension of this building because the parking is an integrated part of the building in a way that is not true for our other Mission Bay facilities. And certainly isn’t true for South San Francisco, where if you do drive down today you’ve got to build parking structures and you derive, negligible or literally no revenue for that investment.
Michael Bilerman – Citi: And is this the revenue source, if you’re looking to increase or you think in place to justify the 7% return?
Peter Moglia: It’s looking at it in the latter percent that it justifies that return. Being adjacent to a hospital over time, well we have an opportunity with daily parking to help enhance that all I think is a reasonable expectation. Again we didn’t factor that into our underwriting.
Stephen Richardson: Yeah I’ll keep in mind Michael too I think as Peter said we’ve underwritten this on in a sense yesterday’s rental rates, lease is already signed not looking at anything in the future. So, I think we feel good about the conservatism we built into the numbers.
Michael Bilerman – Citi: And just thinking about it from the sellers perspective, I sure understand is not a – is not a stupid real estate guy and it’s pretty sure person.
Peter Moglia: Yep.
Michael Bilerman – Citi: Clearly if there is more value to be had by leasing up the space and then selling off any constrain to anybody, you’d think that, that would be strategy they would pursue. So I’m just trying to reconcile, comment a little bit?
Peter Moglia: Yeah well I think a couple of things and Steve can give you a little more color they were trying to I think monetize assets in this particular fund for their own reasons. There were a number of bidders at the table, I think at least one of two of them probably would have beaten up in pricing. But I think the certainty of our diligence knowledge and market knowledge there I think convinced them that we were the best buyer here. And I think that you have to remember that this is the market, they don’t really deal with or they have very few life science assets. So it’s not really in their sweet spot, but Steve you could comment beyond that.
Stephen Richardson: Yeah, no I think that’s right. I think you’re right. They are a very well respected organization. I think they have a keen sense of timing. I think we’ve stated that this was not a bargain basement price. It was a reasonably full price for where the property is and its stage of development in leasing and I think they’ve just chose to act upon that timing for both macro market reasons, but also their fund, I think they are out there raising another fund right now and it probably helps them to have a sale completed in a prior front end point to that to investors.
Michael Bilerman – Citi: Okay thank you for comment.
Joel Marcus: Yeah thanks.
Operator: Our next question comes from the line of Ross Nussbaum with UBS.
Ross Nussbaum – UBS: Hi everyone. Good afternoon.
Joel Marcus: Hi Ross.
Ross Nussbaum – UBS: A couple of questions may be we will move past the Mission Bay. If I am reading your supplemental correctly it looks like you spend or planned on spending 43 million in China and India this year, which is not insignificant amount of money, can you talk about where you are now on those expansion plans?
Joel Marcus: Sure those dollars actually go across a number of projects and so individually there is no one project consuming all that capital and if you look at India and China we’ve got a million square feet, so it’s a modest investment in that particular market at the moment and as we advance our efforts in that particular region we’ll continue to provide more color.
Stephen Richardson: Yeah there is in India we at the moment don’t want to certainly get in to great detail, but we are doing a build-a-suit that has been increased in size by one of our top tenants coming from the U.S. among others and that’s one of the keen focal points of this and we will probably over the coming quarters. At the moment that they do not want us to say anything about this particular expansion, but we will hopefully be able to share that with you in coming quarters.
Ross Nussbaum – UBS: Okay. On the leasing in the first quarter on the – I guess the 28 leases, second, three lease term, shorter than I would have expected. Can you add some color perhaps on why this lease terms were no longer there?
Joel Marcus: Yes, as I said, don’t read even growth in rental rate mark-to-markets don’t necessarily as the inset look at a single quarter as necessarily a trend for the future, I think they are very individualistic and I would say I would take nothing in particular away from or through this anything to them in particular. Yes, one quarterish statistics kind of skewed and I would always look back on the prior rolling quarterish at least when you get to the first quarter. It’s really tough. But, it’s the only period presented. But, if you look back you can see the recent trends back in 2010, the average lease term on renewed and re-leased space was 8.1 years and the average lease term on redevelopment for vacant space was closer to 10 years. So, that was the recent trend not in really one quarter end, this three year term will easily average outage we get through the quarters.
Ross Nussbaum – UBS: Okay. That’s helpful. Last question, Joe at your Investor Day, I guess last December, I thought you were pretty emphatic that one of your key priorities for this year moving forward toward investment grade rating?
Stephen Richardson: Yes.
Ross Nussbaum – UBS: And walking a fine line between advancing that goal and not doing any more speculative development. So I guess how do you put the Mission Bay acquisition in that context where it’s not you are not taking the development risk but you are taking the leasing risk and how do you think about that relative to the timing of getting a rating of where are you in that process?
Joel Marcus: Yeah. I mean I think that’s a great question and it does present a fine line of balancing a number of competing issues. I think we felt good though that we were able I mean had we not had two year severe downturn I think our view of selling that kind of land at Mission Bay may have been different. The world would be different I think. But it is it’s like Vegas you play the hand you’re dealt and so we played the hand we’re dealt and exited quite a number of the parcels, had a pretty good gain certainly a pretty good price per FAR foot and moved from a non-income producing asset. And the deal we just bought again we don’t choose the timing of when buyers come to or sellers come to market. They come to market for a variety of reasons as Steve said raising another fund or whatever. But I think it’s fair to say that certainly from a ratings perspective and that was not the main motivation for the sub purchase it was the items that we all kind of just enunciated. It’s certainly would be viewed in a I think a very positive light because its great real estate, it’s immediately cash flowing, it’s a pretty decent return with some good upside and even though we have got some leasing risk, we have got a 1% vacant market with about four different sectors that would be looking at that building with I think a lot of interest. So we feel pretty comfortable in taking that risk. We said both at the Investor Day and otherwise, we’re not interested and would not do speculative developments. So any or other mission based type that would be developed on the west side would be only on a substantially leased, pre-leased or build-to-suit basis. New York, we’re going to tap that market starting in June and in Cambridge we do have our first building that assuming we execute the lease would be a build-to-suit. So, again we want to try to balance all these things and carefully balance the volume at which we’re doing things. We do things I think in a step-wise fashion prudently and be as careful as we can about everything. It’s all obviously a whole set of balancing efforts.
Ross Nussbaum – UBS: And where are you exactly with the agency that you’re pointing?
Joel Marcus: We’re not formally before them, but we believe that I think as Dean has mentioned the number of times, we would hope to be formally in that process in the latter half of 2011.
Ross Nussbaum – UBS: Thank you.
Joel Marcus: Yeah, thanks Ross.
Operator: Our next question comes from the line of Sheila McGrath with KBW.
Sheila McGrath – KBW: Yes, good afternoon. Joel you mentioned that Manhattan triple net rents are approaching $80. I was wondering if you could run through as you sometimes do the lab rental rates for your major markets across the country. And secondly, with the rents penciling out near $80, what that might mean for your potential return for the second building in New York versus the first?
Joel Marcus: Let me just talk about maybe the three major markets, San Francisco, Pete can give you a little bit of what the current rental rates are in the two markets we’re dealing with.
Peter Moglia: Good Sheila, at Mission Bay has remained steady in the low to mid 40s and from the South San Francisco to the Stanford market, we’ve seen some recovery from a pretty distressed point to probably in the mid-30s and see that tightening up incrementally.
Stephen Richardson: And I think in New York as we said we feel there is certainly our lease rates are approaching as we indicated $80. We know that there is an incubator up at Columbia that’s got rates pretty similar to that. There is no other product in New York City we see the office market coming back pretty nicely and noticed that there are a number of developers even looking at developing office space. So that all bodes well for I think future increases and in Cambridge I think Peter can comment, but I think we’re answered pretty much in the mid-50s to high 50s triple net.
Peter Moglia: That’s right, but we actually started what may have been a $70 comp today on a recently signed lease in the news. I would tell you the San Diego has really been pushing rents 250 was really the asking rent for most of the Class A space for the past 12 months, but we really involve to do the $3 range over the last couple of months. So and we think we are going to continue to push that North Carolina is still fairly dormant. So the rental rates have really settled in the low 20s range. Maryland is probably in the mid-20s to low 30s for newer product. Am I missing anything else that’s about it.
Sheila McGrath – KBW: Okay. And then second part of the question was on the with rents now approaching $80 in New York how does that look – pencil out for your return on the second building versus the first?
Peter Moglia: Yeah, I think it really is – pencils up pretty nicely because if you look at the second building we would see somewhere again you never know what the infrastructure improvement will be for a given tenant whether it will be more of a shell deal or more of a split of the build out or whatever, but I think it’s fair to say that we would probably have overall cost probably in the somewhere in the $650 range because we don’t have to put in the amenities we put into the East Tower and I think we would have more intense lab than we have in the East Tower and I think clearly we would be in an even a slightly better position with respect to returns than the East Tower assuming rents that we’ve signed not future rent. So we feel I think reasonably comfortable with that scenario.
Sheila McGrath – KBW: Okay and last question, just wondered if you could give us an idea of the level of activity or interest at either New York or Cambridge versus six months ago, are you having more dialogues and conversations that would lead you to believe that you might have an earlier start on either a bill to sue that in Cambridge or the second building in New York?
Peter Moglia: Yeah well I think as we were saying just a couple of minutes ago, we have signed a letter of intent for approximately 300,000 feet in Cambridge. We’ll see if we can turn that into a signed lease we have I think a high level of confidence. But until it’s done, it’s not done. So I think that kind of moves us significant step ahead on the Cambridge development side there is still – it still is together with the Bay area, one of the two top markets in the country, I think New York is not far behind. So I think there is good activity in Cambridge from a number of factors both the life science and tax factor. We’re talking about a life science user here for the building and in New York we’ve not really engaged in many discussions but we know where we left off kind of the end of last year and we kind of have a lift. There were two significant institutional users that would require something in a range of north of 200,000 square feet. We’re going to revisit those specifically come the June kind of kick off and assuming those haven’t changed and they couldn’t have gone anywhere else in the city because the reason I think we would expect there would be good activity and then we’d have to look to the future and see what makes sense as far a capital allocation and timeframes for people to make decisions et cetera. So I’d say yeah better than six months ago for sure.
Sheila McGrath – KBW: Okay. Thank you.
Operator: Now our final question comes from the line of John Stewart with Green Street Advisors.
John Stewart – Green Street Advisors: Thank you. Joel, can you give us a sense on 499 Illinois, is this sort of a Biogen Idec situation where you’ve got a tenant in your back pocket?
Stephen Richardson: John, hi, it’s Steve Richardson. I – my colleagues in San Diego did a spectacular job there. And there is always that hope but this may take a little while. We do have discussions there early discussions, there is tenant demand in the market, but we’ll have to stay tuned in the next couple of quarters. We are not trading paper with anybody right now I can tell you that.
John Stewart – Green Street Advisors: So, what are you underwriting in terms of the lease-up period?
Stephen Richardson: We’ve got a two year lease-up period.
Joel Marcus: That’s fairly consistent with our underwriting on the campus down in San Diego that we purchased from Biogen, it was the lengthy lease-up period.
Peter Moglia: Yeah, this is Peter. We did assume a full 13 month before we actually have revenue coming from in to the second building.
John Stewart – Green Street Advisors: Okay. For one of three tenants?
Peter Moglia: Yeah.
John Stewart – Green Street Advisors: And what is the in-place rent per square foot at 40909?
Peter Moglia: It was roughly high 40s.
John Stewart – Green Street Advisors: Okay. And Joel you made a comment that was intriguing about several different sectors that would be in line to take this – or you – is your intend to keep 499 as lab or are you looking at alternative uses?
Joel Marcus: Well that’s what we hope to have may be something up our sleeve. Our main goal is to bring a lab tenant in and we’ve actually looked at it as a single building user or multi-tenant users. We are looking at it both ways. But I think it’s pretty clear as Steve had a showing last Friday I believe there is some institutional pent-up demand that may kind of overpower anything else and if we can push prices in a certain direction it might be a combination very much like we did at 1500 on a combination of traditional lab office and even the clinical component and if that gets mandated there could be a nice opportunity to drive rents in a way that may be we wouldn’t have imagined on a either traditional office, medical office or traditional lab, so that’s kind of our secret hope here.
John Stewart – Green Street Advisors: Okay and then my last question is when you take this acquisition and think about the build-to-suit and Cambridge, how are you going to pay for all this particularly when you are considering going to the agencies later on this year?
Peter Moglia: Yeah I mean I think it’s fair to say that other than in the depth of the downturn when we like many companies raised funds in a number of ways. We certainly did a number of offerings and we did one convert probably would never did that again, but that were not match funded that were really funded on the basis of keeping the balance sheet in good shape, keeping a lot of liquidity and not knowing whether the banking system was going to be there or not. Historically, other than those pretty tough two years. We’ve always considered to really match fund those at a point when we felt we wanted that kind of pay down the line. We’ve got a lot of capacity on the line, but obviously our goal over time would be to match fund and our goal has been was before the crash and certainly after the crash to minimize any dilution on that and so that we would continue that same kind of philosophy.
John Stewart – Green Street Advisors: But I would think that to get an investment grade rating you need to bring leverage down a bit?
Peter Moglia: Well I think our numbers are in pretty good shape. I think we’d like to see our debt-to-EBITDA numbers as Dean said they continue to trail down into the sixes in a very positive fashion. Part of that will come from bringing on additional EBITDA, but yeah I mean our goal is clearly to continue to eliminate secured debt and obviously refinance the 750 term loan and obviously half the bond market. So those are all kind of a combination of play.
John Stewart – Green Street Advisors: Okay. Thank you.
Peter Moglia: But I think overall, I think overall our leverage is not in bad shape and I think the – moving out of that Mission Bay Land holding I think helped us significantly.
John Stewart – Green Street Advisors: Okay. Thank you.
Peter Moglia: Okay many thanks.
Operator: Ladies and gentlemen that is all the time we have for questions. I’d now like to turn the conference back over to Mr. Marcus for any additional or closing remarks.
Joel Marcus: Thank you very much. We appreciate we’re trying to be time efficient here and we look forward to talking to you on the second quarter call. Many thanks again.
Operator: And that does conclude our conference for today. We thank you for your participation.